Operator: Good day, ladies and gentlemen, and welcome to the Miller Industries, Inc. Fourth Quarter 2025 Results Conference Call. Please note, this event is being recorded. And now at this time, I would like to turn the call over to William G. Miller at Miller Industries, Inc. Please go ahead, sir.
William G. Miller: Good morning, everyone. And thank you for joining us for our fourth quarter and full year 2025 earnings call. I want to begin by thanking our employees around the world for dedication throughout the year. Our results and strategic progress reflect the commitment and passion of our team, our suppliers, our customers, and our shareholders. As always, our remarks today will include forward-looking statements. Actual results may differ materially. Please refer to our SEC filings and the Safe Harbor statement included in today's presentation. I would like to start with a brief overview before I hand the call over to Deborah L. Whitmire, who will review our results in greater detail. We were pleased to deliver a fourth quarter that led to generating full year revenue in line with our revised expectations despite a challenging industry environment. I am incredibly proud of the way our team rose to the challenge this year, focusing on operating discipline in the areas of the business within our control. We have over 1,500 employees across Tennessee, Pennsylvania, France, the United Kingdom, and Italy. And our footprint gives us unmatched reach, capability, and reliability. During the year, we made many difficult but necessary decisions to protect the long-term health of the business. These included strategically decreasing production in response to elevated field inventory in our North American distribution network, rightsizing our cost structure for the current environment, and strengthening our supply chain to mitigate the impacts of tariffs. We also achieved meaningful milestones, completing the acquisition of OMARS in an effort to expand our European footprint and take advantage of the strong demand we are seeing in the region, particularly for our heavy-duty products. More on that shortly. Our core philosophy remains exactly as it has been since day one. Miller Industries, Inc. has the best people, the best products, and the best distribution network in the towing and recovery industry. That philosophy is the backbone of Miller Industries, Inc.'s 35-year history and continues to position the company for future growth. I want to directly acknowledge our teams across the United States, Europe, and the United Kingdom, who delivered through a challenging market and delivered recalibration of production. Their execution enabled us to finish the year with momentum and enter 2026 from a position of strength. I will now turn the call over to Deborah L. Whitmire, who will provide an update on our financial results in more detail, before returning with some more specific thoughts on our markets in 2026, capital allocation priorities, and guidance.
Deborah L. Whitmire: Thank you, Will. Before I begin, I would like to note that we closed the acquisition of OMARS on December 2, so our fourth quarter results only reflect approximately one month of contribution from OMARS. For the fourth quarter, revenue was $171,200,000, down 22.9% year-over-year as expected. This decline reflects our decision earlier in the year to reduce production and allow distributor inventories to return to historically normalized levels. Gross profit was $26,500,000, or 15.5% of sales, and diluted EPS was $0.29 per share. We saw sequential improvement in retail order activity late in the quarter, and that momentum has continued into 2026 consistent with our expectations. As a result, we have already begun to increase production levels at all the U.S. facilities to meet this demand. For the full year 2025, revenue was $790,300,000, down 37.2% from 2024. Gross profit was $120,400,000, or 15.2% of sales, and net income was $23,000,000, or $1.98 per diluted share. With distributor inventory now back to historical levels, we have greater visibility into retail demand and are operating with an improved production cadence. Our SG&A expenses increased on a year-over-year basis for both the fourth quarter and full year 2025 primarily due to one-time expenses related to the voluntary retirement program in the third and fourth quarter, and as we executed planned workforce transitions across the organization. Also, transaction and integration costs related to the OMARS acquisition, which represent an important investment in our European growth strategy, and higher stock compensation expenses to retain key leadership talent and further align the executive team to the interest of shareholders. These were all planned and strategic investments and expenses that advance our future growth strategy. Now I will turn the call back to William G. Miller to discuss our markets and our outlook for 2026.
William G. Miller: Thank you, Debbie. In the domestic market, we now see normalized distributor inventory, steadier retail demand, and improved sales order entry. As we move into 2026, we expect production levels to rise methodically throughout Q1 and Q2 to match this demand recovery. Our export business remains a major, and the 2026 outlook is very encouraging. Three drivers stand out in particular: consistent European demand; growing demand in other international markets such as Australia, Japan, Mexico, Indonesia, and many others; and a robust pipeline of global military RFQs, which we will discuss further later in the presentation. These should provide a strong multiyear growth tailwind. In the acquisition of OMARS and our expansion of GEA, both will play large roles in this expected growth. Our integration of OMARS, Italy's premier towing equipment manufacturer, continues to progress extremely well. As we have previously shared, we expect our OMARS acquisition to be accretive in the first year. OMARS provides Miller Industries, Inc. with new sales, a stronger brand presence in Europe, and a strategic manufacturing and distribution hub in a key growth reach. OMARS is critical to our long-term growth in the European market. This acquisition should also increase U.S. production levels to supplement OMARS integration capacity and equip them with the necessary resources and scale to capitalize on the strong demand for their products. At Zuzain in France, our €8,000,000 expansion is on schedule and is anticipated to double their heavy-duty integration capacity. We are expected to complete the expansion project by mid-2027. Meanwhile, at Boniface in the United Kingdom, we are investing in production efficiencies to increase capacity and support the growing need for both light- and heavy-duty products. Demand in Europe remains strong, and to support this, our U.S. operations, especially Uttarwat, increased heavy-duty production capabilities. We will supply Xizhe, Boniface, and OMARS with reduced lead times, consistent quality, and increased production volumes. Earlier, I mentioned our robust pipeline of military RFQs. We began 2026 with more than $150,000,000 military, with production scheduled to begin in 2027, with the majority of revenue to be recognized in 2028 and 2029. We are also actively engaged in a substantial pipeline of additional military RFQs. This level of military activity is unprecedented for our company and represents a major long-term growth factor. To service future demand, we are beginning one of the most significant projects in our history: a 200,000-plus square foot addition to our Oodawa facility. This estimated $100,000,000 investment should unlock new capacity, streamline heavy-duty workflow, and enhance our manufacturing efficiencies. With more than $150,000,000 in military commitment secured and additional global RFQs underway, the new facility will be key to producing global, high-volume, defense-grade recovery vehicles as well as meeting increased demand for our global export markets while maintaining the ability to service our North American customer base. We anticipate the new facility will be production ready in late 2027. As we continue our strong cash generation, and debt continues to decline, we anticipate funding the majority of our expansion organically through operating cash flow over the next several years. We remain disciplined in how we allocate capital, focusing on five key priorities: paying a consistent quarterly dividend, which the Board of Directors increased 5% to $0.21 per share this quarter; debt reduction, which has been reduced to $20,000,000 in January 2026 through our diligent reduction in working capital; share repurchases, including $2,200,000 in 2025; selective M&A opportunities; and ongoing investments in automation, innovation, people, and capacity. We are extremely proud that we have paid our dividend for 61 consecutive, and in 2025, we returned approximately $15,100,000 to shareholders between our dividend and share repurchase program. This balanced approach strengthens the company while also returning value directly to shareholders. For 2026, we expect revenues between $850,000,000 and $900,000,000. We also expect that performance will accelerate into the second half of the year as manufacturing activity increases throughout the first and second quarters and product mix normalizes. We anticipate that revenue will approach $250,000,000 per quarter by the 2026. Additionally, as product mix shifts to a historical percentage of manufactured product and chassis, we would also expect gross margins to return to historical levels in the mid-13% range for the full year. We look forward to meeting with investors to speak about these exciting developments throughout 2026 at the Three Heart Advisors Conferences in New York, Chicago, and Dallas, at D.A. Davidson's Industrial Conference in Nashville, and additional non-deal roadshows to be scheduled. We always welcome continued dialogue with our shareholders. In closing, I want to emphasize that 2025 was a difficult year, and our team managed multiple challenges extremely well. We now enter 2026 with normalized distributor inventories, stronger retail demand visibility, a growing international platform, major military momentum, a significant expansion of our U.S. manufacturing footprint, and a strengthened balance sheet. We are exceptionally well positioned for long-term global growth, and I am proud of the work our team has done to get us here. As always, I would like to thank our employees, customers, suppliers, and shareholders for their ongoing support of Miller Industries, Inc. Thank you again for joining us. Operator, please open the line for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. You will hear a prompt that your hand has been raised. If you wish to decline from the polling process, please press star followed by the two. And if you are using a speakerphone, please select the handset before pressing any key. First question comes from Michael Shlisky at D.A. Davidson. Please go ahead.
Michael Shlisky: Absolutely. Good morning, guys. So help me understand, yes. Hey, guys. So I guess I am, I guess I am trying to figure out the margin story first. I would just say that the gross margin expectation for 13% range is better than you have seen in the past for the mix that you are expecting. I am trying to make sure that the cost suggestions that you have undertaken are kind of having the desired effect. Or at least that we might see on the operating margin line an improvement when you consider your cost reductions, you know, now that they are behind you. Or is it better or worse than it has been in the past? It is what I am trying to figure out here. I believe they are normalizing.
William G. Miller: I think our margins are better than they were pre-COVID levels in 2019, where we saw margins in the mid-12% to high-12%. But I think you will see that return back to, on an average year, if you look at 2023 and 2024, in those mid-13s, although we did have some fluctuations quarter to quarter due to chassis availability and timing of shipments of chassis. But I think over a year period, you are going to see them normalize back in the mid-13% range.
Michael Shlisky: So the cost reductions that you have had, the people cost, etcetera, that you have done over the last 12 months, they have not had any impact on margins? Or I am just trying to figure out whether you are seeing a better margin profile. Maybe it is operating margin rather than gross. Do you feel you are going to get the benefit that you are expecting on the margin end from all those cost reductions?
William G. Miller: Well, most of our people reduction was hourly employees that were focused on the reduction or lower levels of production. As we start to ramp back up, we will intentionally add some people back. We did have some retirements that will help on the SG&A level. However, some of those employees have also been replaced as we moved on, and we progressed to the had plans to replace them throughout the process.
Michael Shlisky: Okay. That makes sense. I get it. That is totally fair, Will. And then the top line outlook, I think back a year, what happened back then, you know, we on our end were blindsided by some of the, you know, how fast tightened. I think some of that even surprised you in the swiftness of how the market changed and things that happened in 2024. So the outlook you have now for 2026 at this time of the year, do you feel like you have got a better sense of the confidence in this time around than you had this time last year? What has changed, etcetera, that makes you feel like you have got the $850,000,000?
William G. Miller: I think our confidence level is higher this year. We saw an abrupt change and downward projections mid-year last year, and really a couple of things. We have utilized the technology that we have internal to be able to better analyze and project what our distribution needs and retail activity is going to be on an average basis. We have a lot more—we had the data, but actually putting it into a format to be able to project what we think future needs will be. Also, distribution inventory is back to, as we said, historical average levels. We are starting to see that order intake pick back up. And really what we are looking at is retail activity. Retail activity or retail demand from our distributors to the end users was consistent throughout all of 2025, and we see that consistency moving right back into 2026. So, really, what we are projecting is that we are just ramping back production to meet the average retail demand levels that we saw consistent through 2025 and into 2026 so far. Our confidence level is pretty high.
Michael Shlisky: And so you would characterize the mix between the chassis-plus-tow sales and the tow-only kind of packages as more normalized in 2026 and in your current outlook?
William G. Miller: Absolutely.
Michael Shlisky: And does that mean that is 50/50 or some other kind of fraction?
William G. Miller: No. It is not one-for-one, as you realize, that we do have distributors that provide their own chassis—what we call customer-supplied chassis. You also have municipalities that drive their own chassis along with all of our export product and our sales over in Europe. So it is not one-for-one, but it is returning to a normalized level. I mean, every tow body that we manufacture does have to have a chassis to create a tow truck, but that does not mean that we sell every chassis with the body.
Michael Shlisky: Right. Okay. Just switching over to OMARS real quick. You have an outlook for accretion in 2026, if I am not mistaken. But it sounds like your description of it, Will, was more that OMARS is going to help in a lot of other ways, help your U.S. capacity, help your European business with some synergies and cross-selling and some cross, I guess, cross-manufacturing. Your comment that it was going to be accretive just based on, you know, just layering in the existing OMARS P&L, it is something that there is a lot more accretion that could happen once the synergies start to roll. Is that a verification?
William G. Miller: Yes. It is more of a long-term play. Right? Currently, you are going to see their P&L drop in dollars, and we do believe that they will be accretive in year one. However, moving forward, we are now focused on, in our European facilities, what product we should build where and what is most successful. And also looking at purchasing throughout those three facilities and how to best purchase product. And then augmenting OMARS’ heavy-duty production, which they make a great heavy-duty product, but also giving them additional production capabilities in the United States so we can export to them to increase their sales capacity, similar to what we are doing with Xizhe, as both Xuzhou and Boniface currently use about 50% of their heavy-duty product manufactured in the United States that they sell in the European market. So we believe there is a significant level of synergies other than bringing on just their additional revenue to our organization. Not to mention they have an amazing state-of-the-art factory with some great capacity and capabilities as well.
Michael Shlisky: Sounds great. I appreciate all the color. I will pass it along. Thank you.
William G. Miller: Thank you, Mike.
Operator: Thank you. We have no further questions. I will turn the call back over to William G. Miller for closing comments.
William G. Miller: Thank you. I would like to thank you all again for joining us on the call today, and we look forward to speaking with you on our first quarter conference call. If you would like information on how to participate and ask questions on the call, please visit our Investor Relations website at millerind.com/investors, or email investor.relations@millerind.com. Thank you. May God bless you, and may God bless our troops.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.